Operator: Good day, and welcome to the Targa Resources Corporation Second Quarter 2024 Earnings Webcast and Presentation. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker, Sanjay Lad, Vice President, Finance and Investor Relations. The floor is yours, sir.
Sanjay Lad: Thanks, Shari. Good morning, and welcome to the second quarter 2024 earnings call for Targa Resources Corp. The second quarter earnings release, along with the second quarter earnings supplement presentation for Targa that accompanying our call are available on our website at targaresources.com in the Investors section. In addition, an updated investor presentation has also been posted to our website. Statements made during this call that might include Targa's or expectations or predictions should be considered forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. Actual results could differ materially from those projected in forward-looking statements. For a discussion of factors that could cause actual results to differ please refer to our latest SEC filings. Our speakers for the call today will be Matt Meloy, Chief Executive Officer ; and Jen Kneale, President, Finance and Administration. Additionally, the following senior management team members will be available for Q&A: Pat McDonie, President, Gathering and Processing; Scott Pryor, President, Logistics and Transportation; Bobby Muraro, Chief Commercial Officer; and Will Byers, Chief Financial Officer. With that, I'll now turn the call over to Matt.
Matt Meloy: Thanks, Sanjay, and good morning to everyone. We had another record quarter across multiple fronts. But before we get into all the good things happening here at Targa, I would like to first recognize all our employees impacted by Hurricane Beryl. We prepared for the storm, weathered the storm and performed across a difficult period to safely keep volumes flowing, providing best-in-class service when many of our employees were also managing without power and had damage to their homes. The hard work and dedication demonstrated during the storm is really something to be proud of. So I'd like to say thank you to the Targa team for all the extra effort. The storms reduced our volumes for only a short period, so we expect the impact on the third quarter to be minimal as there was no material damage to any of our assets. I would also like to welcome Will Byers, Targa's new Chief Financial Officer to our call this morning. Will officially joined us on July 22, and we're excited to have him as part of the Targa team. We'll add a lot of depth to our organization, given his 20-plus years of midstream finance experience, including serving in CFO roles over the last 10 years. As part of Jen's continued development, she has now transitioned into the role of President, Finance and Administration and will continue to increase her role and responsibilities. Turning now to our second quarter results, it was another strong quarter of performance across our organization, which sets us up well for the balance of this year and beyond. Record volumes in the Permian drove record NGL transportation and fractionation volumes downstream and record quarterly adjusted EBITDA. We brought our Train 9 fractionator in Mont Belvieu and our Roadrunner II plant in Permian Delaware online, on time, on budget. And given increasing volumes across our systems, they were both very much needed. We also executed on a quarterly record $355 million of common share repurchases which is reflective of our performance and strong conviction and the outlook for our business going forward. We also just announced our participation in a joint venture supporting the next natural gas pipeline from the Permian Basin. We provided a meaningful volume commitment to support the project, and this provides for a 17.5% ownership interest in the Blackcomb pipeline. Blackcomb will be a 42-inch pipeline transporting gas from the Permian to South Texas. The pipeline is expected to be project financed, so Targa's capital investment should be less than $200 million. Now let's talk a little more about our Permian position and the good things happening there. Activity in the Permian remains very strong, supporting our view of continued long-term growth from the basin. Our Permian volumes during the second quarter increased about 275 million cubic feet per day over the first quarter, which is a full plant. And year-over-year, our volumes in the Permian are up more than 600 million cubic feet per day. And currently, our volumes in the Permian are up another 200 million cubic feet per day compared to the second quarter. We expected strong growth from our Permian assets, but the growth we have seen this year has exceeded our expectations. We now expect low double-digit percentage volume growth this year, which sets us up well for meaningful growth in 2025 and beyond. This higher growth rate is driving incremental EBITDA and requiring additional growth capital investment. These volumes are core to our business, and we benefit across the integrated NGL value chain, driving higher margins into our downstream business and generating strong ROIC. Given higher-than-anticipated Permian volumes and an outlook for continued strong activity across our Midland and Delaware footprint, we announced our next two plants in the Permian, one in the Midland Basin and another in the Delaware Basin. Some spending for these plans was included in the forecast we provided back in February, but the timing and cadence of spending has accelerated. To support our higher volume and higher EBITDA profile, we are updating our estimate for growth capital spending for 2024, so approximately $2.7 billion. This increase or the increase in growth capital spend from our previously provided range is attributable to the acceleration of timing of plants in the Permian, incremental field capital compression and gathering lines the acceleration of downstream infrastructure connections and other opportunities like spending on enhancing residue gas takeaway. Similarly, we expect stronger than previously estimated Permian volume growth next year and are updating our 2025 estimate for capital spending to $1.7 billion, driven by a similar acceleration of plant and field capital and our investment in Blackcomb. We included a bridge on Slide 5 in our Q2 earnings supplement presentation for our updated estimates for 2024 and 2025 growth capital. The strength of our first half 2024 performance and continued strong outlook going forward driven largely by higher Permian volumes and higher volumes through our integrated system means the updated midpoint estimate. For our full year 2024 adjusted EBITDA is $4 billion, which is a $200 million or 5% increase from our previous estimate. We now expect higher adjusted EBITDA in 2025 and a similar free cash flow estimate to when we compare our outlook -- to when we provided our outlook in February, with 2025 representing an important inflection for our company as our meaningful free cash flow generation positions us to continue to return an increasing amount of capital to our shareholders, while further strengthening our investment-grade balance sheet. We believe that we are uniquely positioned for the short, medium and long term as an already strong outlook for Permian Basin volume growth from best-in-class producers continues to get stronger, which benefits our entire integrated value chain. Our contract structures support us continuing to invest on behalf of our producers, benefiting from cash flow stability and lower commodity price environments and upside as prices rise. And we are delivering record financial performance despite a weak commodity price backdrop. Before I turn the call over to Jen to discuss our second quarter results in more detail, I'd like to extend a thank you to the Targa team for their continued focus on safety and execution, while continuing to provide best-in-class service and reliability to our customers.
Jen Kneale: Thanks, Matt. Good morning, everyone. Targa's reported quarterly adjusted EBITDA for the second quarter was a record $984 million, a 2% increase over the first quarter. For the second quarter, our natural gas inlet volumes in the Permian averaged a record 5.7 billion cubic feet per day. Our NGL pipeline transportation volumes averaged a record 784,000 barrels per day. Our fractionation volumes averaged a record 902,000 barrels per day at our Mont Belvieu complex, and our LPG export loadings averaged 12 million barrels per month. Let's talk about our operational results in more detail. Starting in the Permian, our reported second quarter inlet volumes increased 5% when compared to the first quarter. In Permian Midland, our system is running near capacity, and our new Greenwood II plant is expected to be highly utilized when it comes online in the fourth quarter of 2024. Our next Midland plant, Pembrook II, will be much needed and remains on track to begin operations in the fourth quarter of 2025. As Matt mentioned, today, we announced that we are moving forward with our latest Midland plant, East Pembrook which is expected to begin operations in the third quarter of 2026. In Permian Delaware, activity and volumes across our footprint are also strong. Our Roadrunner II plant commenced operations in late May and was fully utilized after startup. We are accelerating the timing of our next Delaware plant, [indiscernible], which is now expected to come online in the first quarter of 2025 and is also expected to come online highly utilized [ph]. Today, we announced that we are moving forward with our latest Delaware plant, Bull Moose II, which is expected to begin operations in the first quarter of 2026. Shifting to our Logistics and Transportation segment. Construction on our Daytona NGL pipeline expansion has been going well, and we believe that we may be able to bring the pipeline fully online earlier than estimated. Our Train 9 fractionator in Mont Belvieu came online full in May, and we are currently starting operations at our Gulf Coast fractionator joint venture, and we expect our portion of the capacity to be highly utilized at start-up. Construction on our Train 10 and Train 11 fractionators in Mont Belvieu continues, and our fracs are expected to be much needed when they come online, given our outlook for increasing Permian volume growth and resulting NGL volume growth to Mont Belvieu. Train 10 is now expected to begin operations late in the fourth quarter of this year and Train 11 is expected to begin operations in the third quarter of 2026. In our LPG export business at Galena Park, our second quarter volumes were impacted by a required 10-year inspection that reduced our loading capability in the second half of June through late July. We continue to benefit from nighttime transits and fully expect that to be a permanent benefit going forward. We remain on track to complete our expansion, which will increase our loading capacity and incremental 650,000 barrels per month in the second half of 2025. The strength of our performance in the second quarter with the backdrop of negative Waha gas prices and low NGL prices demonstrates that by investing in opportunities backed by fee-based and fee floor contracts, we are able to successfully invest across cycles to continue to support the infrastructure needs of our customers. We have largely removed exposure to downside commodity prices from our enterprise-wide risk profile, and given the strength of our outlook, also recently added hedges to further increase our cash flow stability. As described previously, 90% of our margin is fee-based or supported by fee floor contracts. The remaining 10% is exposed to commodity prices. Of that remaining 10% of exposure, we have now hedged approximately 90% of volumes across commodities through 2026. As commodity prices move higher, we will benefit from that upside through our fee floor contracts. Turning to the balance sheet. At quarter end, we had $1.6 billion of available liquidity, and our consolidated net leverage ratio was 3.6 times, well within our long-term leverage ratio target range of three to four times. During the second quarter, we repaid the $500 million balance on our term loan and the term loan is no longer outstanding. Shifting to capital allocation. Our priorities remain the same, which are to maintain a strong investment-grade balance sheet to continue to invest in high-returning integrated projects and to return an increasing amount of capital to our shareholders across cycles, and we are delivering on those priorities. Our outperformance is leading to deleveraging faster than we previously forecasted, creating incremental capacity to enhance our return of capital. Supported by the strength of our business outlook, we repurchased a record $355 million of common shares in the second quarter at a weighted average price of $118.91. This week, our Board of Directors also authorized a new $1 billion common share repurchase authorization, and we continue to expect to be in a position to return capital to our shareholders through opportunistic repurchases. We are continuing to model the ability over time to return 40% to 50% of adjusted cash flow from operations to equity holders and believe that is a useful framework for thinking about Targa's return of capital proposition. Our talented Targa team continues to execute on our strategic priorities across the organization and safely operate our assets to deliver the energy that enhances our everyday lives. And I would like to echo Matt, thank you to all of our employees. And with that, I will turn the call back over to Sanjay.
Sanjay Lad: Thanks, Jen. For the Q&A session, we kindly ask that you limit to one question and one follow-up and reenter the lineup if you have additional questions. Sheri, would you please open the line for Q&A?
Operator: Thank you. [Operator Instructions] Our first question will come from the line of Jeremy Tonet with JPMorgan. Your line is open.
Jeremy Tonet: Hi. Good morning.
Matt Meloy: Hey, good morning.
Pat McDonie: Good morning.
Jen Kneale: Good morning.
Jeremy Tonet: I just wanted to touch on the guidance raise here a little bit. Especially the free cash flow inflection and just wanted to understand that a little bit better, whether that is absolute dollars or rate of change or just any other, I guess, way you could bracket what that means?
Matt Meloy: Yes. Hey, Jeremy. Yes, we raised our guidance for this year. It's really underpinned by the strength and the volume that we've seen, not only so far this year, but also just our expectations for the back half of the year and then leading into 2025. Producers just really continue to have high levels of activity across our system, and we received numerous, I think, kind of revisions to the short, medium-term outlook from our producers across our system. So, that let us feel really good about the EBITDA this year, and positioned us well going into 2025 and strong activity in 2025. So, when you look at our overall EBITDA growth that we expect, coupled with the CapEx moving from $1.4 billion to $1.7 billion, we see a similar -- really similar dollar amount of free cash flow to what we saw when we gave kind of the original outlook back in February of this year.
Jeremy Tonet: Got it. That's helpful. Thank you for that. And then looking across, it seems like the implied GPM across the processing fleet stepped up quite nicely in 2Q. Just wondering how much of that was tied to better ethane extraction economics in the quarter? How sustainable is the volume uplift in downstream? Just trying to understand that better, particularly, I guess, with Daytona tracking well, it seems?
Matt Meloy: Yes, I don't think we've seen anything really fundamentally different from the production side. We had higher recoveries in the second quarter relative to the first quarter. Is what drove the higher recovery GPM. I think the underlying volumes are similar. Pat?
Pat McDonie: No, they are. I mean we had some periods of ethane rejection in the first quarter. That, coupled with some weather issues at times, and we've been in full recovery during the second quarter.
Jenn Kneale: Very tight gas market in the Permian in the second quarter. And so that's another reason that you saw our recoveries improve.
Jeremy Tonet: Got it. And just the last part with Daytona, if that's tracking early, any impact there, I guess?
Scott Pryor: Yes, Jeremy, this is Scott. The construction on Daytona has gone very well. When you enter into construction of a long-haul pipeline of this size and at this distance, you would anticipate once you get in the construction phase that you might have delays relative to weather or just in general construction delays. But for us, quarter in and quarter out, we've seen improvements. The Targa team has done an excellent job installing that pipe. And I would not be surprised if it actually comes online sometime during this quarter, the third quarter of this year. So, very pleased with the timeline.
Jeremy Tonet: Got it. That's very helpful. I'll leave it there. thanks.
Matt Meloy: Okay, thanks Jeremy.
Operator: Thank you. One moment for our next question and that will come from the line of Spiro Dounis with Citi. Your line is open.
Spiro Dounis: Thanks, operator. Good morning everybody. First part is just a two-part question on volume growth. I think as we headed into the year, the messaging for you all was that maybe Targa start to sort of reflect basin growth kind of more broadly, but it seems like you're sort of back in that mode or you're growing at an accelerated pace. Maybe one, can you just touch on the dynamics there? What's going on in your system that's driving that accelerated growth versus the base on average? How long does that last? And then as we think beyond the near term, maybe just thinking around cadence between the next frac and maybe even pipeline expansion in Europe, this keeps up?
Matt Meloy: Yes, sure. I'll start, and then Pat, you can hop in. I mean, we've over the last several years, have really outperformed the basin. Our team has done a really good job at servicing our existing customers, but also having commercial success really across the Delaware and the Midland. We also have our assets, well, we have a wide -- kind of a wide area that we cover. We are in the best spots of the Midland, and we're in the best spots and most active spots in the Delaware as well. So, I think we benefit from that. We've seen this year continued strong activity from producers, but we've also seen revisions from our producers of the forecast they've given us. And the level of volumes that they're expecting to come across our system for 2024 and 2025. I'd say this year, we've seen more positive revisions than we have in other years. So, we've just benefited more from that. Maybe just goes to Targa's overall positioning and strong user activity. You have anything to add to that?
Pat McDonie: I think the key components there, Matt, are exactly what you said. Large footprint, fungible system underpinned by millions of acres of dedication on both the Delaware and Midland side of the basin, and that's with producers that are committed to growing the Permian Basin production outlook. So, when I look at the Midland system, it's pretty easy, right? We've been there for a long time. We've had that system. It is on the core, the core of the best rock in the basin. And then with the Lucid acquisition we did a couple of years ago now, that allowed us to get that same type of position in the Delaware Basin, where we are in the core of the core, covering the best rock, a great group of producers, again, underpinned by multimillion acre dedications with producers, again, that are committed to developing and growing their production in the Permian. And I think the one thing we left out in all of that is, we continue to have commercial success. We've had a lot of commercial success early in the Midland Basin and recently in the Delaware Basin that is additive to that footprint that we've already had in place for a good period of time.
Spiro Dounis: Got it. And as you think about the cadence for that next frac pipeline expansion, is that still kind of far enough out? Or does that seem like that's accelerating too?
Scott Pryor: Spiro, this is Scott again. I'll first start on the pipeline side of things. Certainly, with Daytona coming online, likely during this quarter, that gives us a lot of operational leverage as it relates to the volumes coming out of the west from the Permian along those 2 lines. So we've got the Grand Prix line, the original West line, we've got Daytona and with a lot of operational leverage with that. Then that ties into our trunk line that feeds into Mont Belvieu, where we've got some operational leverage as well. So we feel really good about where we are positioned there. I will say that with the cadence of the plants that Pat and his team have been successful at executing on and we look at the volume growth that we have. We've actually done some third-party contracts out there given the number of announcements you've seen on Y-grade pipeline coming out of the Permian, we feel as though there's a little bit of overcapacity, and we're in a position to at reasonable prices to do a term contract with the volume growth that we see on that. The likelihood is, again, with additional capacity that's out there, we'll look for some additional contracts that we can do. Again, as long as the prices are reasonable, it will allow us to push out the next expansion that we might have to have on our pipeline system and defer capital further out. So that puts us in a good position. As we look at frac side, certainly, we benefited in the second quarter of this year with Train 9 coming online during the month of May. We had some strong volumes across our fractionation footprint. We saw a little bit of impact in the first quarter because of some maintenance that we had scheduled. But the second quarter ran very well. Train 9 came online, basically full from day 1. And then when we look out into the third quarter, we'll have GCF coming online. Our equity share of that will likely be full. And then later this year, Train 10 will come online. Not much benefit we expect at this point from Train 10, but it is nice to see that we have moved the time line of that in-service date from the first quarter of 2025 to the latter part of this year and we'll see that come online and give us benefit. When you think about the timing of the plants from our G&P footprint, all the announcement that we had previously made as well as the ones this morning. A mid 2026 time frame for Train 11 fits us very well in order to catch those volumes as well. So, great position on the transportation side, both leveraging our current capacity as well as overcapacity, if you will, from a midstream perspective, as well as how we set on the fractionation front.
Spiro Dounis: Great. That's helpful color. One just quick follow-up on Blackcomb. So pretty small capital investment out of the gate. But I know in the past, you've never really looked at residue gas pipeline as kind of core to your portfolio. So curious, at some point, this become a monetization candidate or too early for now?
Matt Meloy : Yes. We just announced it this morning. So, I think, we will always look to do what's in the best interest of the shareholders, whether it's holding a minority interest or monetizing it. But I'd just say we're really excited to partner with white water and the other partners on this. It's much needed for the industry, much needed for the basin. And so we were excited to put a commitment on there and push this past FID and get going on this.
Spiro Dounis : Great. I’ll leave it there. Thanks for the color everyone.
Matt Meloy : Okay. Thank you.
Jen Kneale: Thank you.
Operator: Thank you. One moment for our next question. And that will come from the line of Theresa Chen with Barclays. Your line is open.
Theresa Chen: Good morning. On the underlying growth across your system, Matt, to your comment about low double-digit net volume growth in 2024. Can you just give us some more color on your view quantitatively for 2025 in led? And what are some of the puts and takes that underlie that view based on your discussions with your producer customers?
Matt Meloy : Yes. I'd say for 2024, we feel strong we talked about low double-digit growth. We haven't given an exact number where we see 2025. We continue to get updated producer forecast. We've had some commercial success here recently as well. So, as we go into the fall, we'll put all that together and say what does that look like for 2025. I think, what you're hearing from us today is it's trending higher. I think, we feel better about it being stronger than our -- what our 2025 expectations would have been earlier this year. And so I think we feel good we're going to have strong growth in 2025. What exactly that looks like we'll continue to develop that and we'll likely provide that outlook for you sometime in February.
Theresa Chen: Understood. And was there anything in particular that drove lower quarter-over-quarter OpEx on a unit basis despite higher volumes in L&T?
Matt Meloy : In L&T, I think what we saw was you saw a lot of volume increase through our frac and through Grand Prix. So we were waiting eagerly for Train 9 to come on. And so you saw a really large increase. We're up a kind of diverse comparative period is over 100,000 barrels a day. So we saw the volume number increase significantly, yes.
Jen Kneale : Theresa, so we also generally hire ahead of assets coming online. So you would have seen an increase in OpEx prior to Train 9 coming online, as we essentially got ready for it. So then when we get the volume associated with the asset essentially being full. When it does come online, that may be one of the reasons that the unit margins improved in the second quarter.
Scott Pryor : And I would also say, Theresa, that I alluded to the fact that we had some maintenance issues during the first quarter. Those are behind us now. Again, the second quarter ran very, very well. And to Matt's point, we had over 110,000 barrels a day of incremental frac runoff during the second quarter.
Theresa Chen: Thank you.
Matt Meloy : Okay. Thank you.
Operator: Thank you. One moment for our next question. And that will come from the line of Michael Blum with Wells Fargo. Your line is open.
Michael Blum : Thanks. Good morning everyone. Wondering if there are any details on Blackcomb, you could provide like percent contracted with the return profile might look like? And would you expect there to be some project level financing for the project?
Bobby Muraro : Yeah, Michael, this is Bobby. I think we disclosed what we're going to disclose in the press release last night and then our earnings this morning. But when we think about getting gas takeaway out of the basin, we're excited to get this done, and bring in Targa's volumes to the table, it got it across the line to go FID obviously, last night and get supply for takeaway in -- out of the Permian for 2026 done and launched. I think we'll defer to white water on how much they share overtime. But I think at FID returns and the returns it fills up, I think it's going to be a great deal for Targa and all the partners that are investing in it.
Michael Blum: Okay. Understood. And then, I wanted to ask about capital spending really beyond 2025, so call it, 2026 and beyond. You have that slide in prior presentations that shows a typical run rate CapEx year at growth CapEx here at $1.7 billion. So I'm just wondering, given the acceleration here you've seen in volumes. Is that still the right way to look at the long-term cadence for growth CapEx?
Jen Kneale: We believe it is, Michael. The $1.7 billion multiyear outlook that we put out earlier this year is really predicated on a high single-digit Permian growth scenario. So as we said this morning, to the extent that we see an acceleration of volume growth beyond that in 2026 and beyond, that could change that growth profile. And then the other element that we've pointed to since we put that slide out is that, our downstream capital spending is lumpier generally than our discrete projects on the gathering and processing side to the extent that we need to add fractionation or in particular, transportation, that can change the complexion of how that outlook plays out for a given individual year. But I think over a multiyear horizon, it still very much holds again, largely dependent on what the assumption is for underlying Permian growth volumes.
Michael Blum: Got it. Thank you.
Jen Kneale: Thank you.
Operator: Thank you. One moment for our next question. And that will come from the line of John Mackay with Goldman Sachs. Your line is open.
John Mackay: Hey. Good morning, everyone. Thanks for the time and congrats to Jen and Will. …
Jen Kneale: Thank you.
John Mackay: I wanted to go back to something we've asked about a couple of times here, but maybe just about a finer point on it. When we're seeing this Permian growth expectations continue to move up. I guess, I'd just be curious, if you could piece a little more out of that. Is it hey, these customers are actually expecting to bring in more rigs and crews back half of the year? Is it, hey, actually, productivity gains are a lot higher than we've expected? Is it all in the GOR side? Anything there you can kind of break out for us would be helpful.
Pat McDonie: Yeah. What I would say is no, we're not expecting an increase in rigs. What we're seeing is greater efficiencies. And with some of the recent combinations of companies that you've seen more efficient use of combined acreage position. So they are getting higher productivity. They are able to drill an equivalent number of wells with a lower rig count. GOR is certainly a factor, but in the big scheme of things, it's not as big a factor. Obviously, we've seen it increase and continue to increase, but the continuing increase is a lot lower than what it was over the past, say, three to five years. So it's really activity of the producer group that is on the Targa acreage, their commitment to drilling in the Permian, and they're achieved frankly, they're achieved efficiencies. And again, it goes back to our commercial success, adding to the footprint we already have.
John Mackay: Yeah. That's really clear. I appreciate that. Maybe just shifting to return of capital, buyback number was great. I guess I'd just be curious to your guys' latest thoughts on the buyback versus the dividend, given the recent run in the stock?
Jen Kneale: I'd say that there's really no change to how we are thinking about capital allocation, John. Foundational to everything that we're doing is a strong balance sheet. And as we've articulated this morning, we see our balance sheet getting stronger through the end of this year and into next year, and that's creating a lot of flexibility for us. We were very active in the second quarter. We have an opportunistic share repurchase program. You'll continue to see us be opportunistic, which will create some variability quarter-to-quarter. But the underlying premise is that we believe that our outlook is only strengthening over the short, medium and long term. And we have a lot of conviction in where the company is today and where the company is headed. And part of how we will continue to return capital to shareholders is really through both a combination of likely meaningful increases in our annual dividend per share as well as continued opportunistic share repurchases.
John Mackay: Thanks for the time.
Matt Meloy: Okay, thanks. John.
Operator: Thank you. One moment for our next question. And that will come from the line of Manav Gupta with UBS. Your line is open.
Manav Gupta: Hi, guys. A quick question. I think a few quarters back, you had indicated that some of the growth projects you have could deliver incremental EBITDA of $300 million or so. How has that guidance changed as some of the new projects are coming in? And how should we think about these incremental growth projects delivering EBITDA of over 2025 and 2026?
Matt Meloy: Sure, yes. Yes, we indicated kind of our investment multiple going forward about 5.5 times, call it, five to six times EBITDA. And I think you've seen our track record over the last several years. EBITDA multiple has even been perhaps a little bit stronger than that. We're investing in the same kind of projects that have delivered return -- strong returns for us over the last several years. It's investing in our gathering and processing business and then expanding our downstream NGL infrastructure to accommodate those volumes. So we're really sticking to our core business. We expect the returns to be very good. That 5.5 is kind of what we indicated would be a pretty good base case, what we think we can do. I hope we can beat that. But if we do 5.5, it will be a really good return profile for us.
Manav Gupta: Thank you. I'll turn it over.
Matt Meloy: Okay. Thank you.
Operator: Thank you. One moment for our next question. And that will come from the line of Keith Stanley with Wolfe Research. Your line is open.
Keith Stanley: Hi, good morning. First, I wanted to start with a follow-up just on 2025 CapEx. Are you baking in any NGL pipeline spend in there or you're comfortable third-party contracts are giving you enough visibility that you don't need to invest in more pipeline capacity yet next year?
Matt Meloy: Yes, hey, Keith, you are correct, yes. For 2025, with Daytona coming on, back half of this year, we should have sufficient transport through 2025 and some period beyond Daytona coupled with the third-party transportation that we've already executed, and we're working on more. So we're really talking about when and if we may need to do another NGF wide and how it impacts 2026, 2027, 2028 capital. But for 2025, our expectation is we don't have any meaningful transportation capital in that number.
Keith Stanley: Great. Thanks. Second question, with volumes coming in a lot higher than expected, is it fair to think you're offloading a lot more to third parties this year than normal? And then we think about growth into 2025 and new assets coming online, should we expect some additional financial tailwinds just from bringing volumes back onto your system in '25 that maybe you're offloading this year?
Matt Meloy: Yes. No, good question.
Pat McDonie: We'll looking around who's going to answer this.
Matt Meloy: Everyone's raising your hand. So I'll start. And then when we think about offload, it really is dependent on the piece of the business. Is it gathering and processing, transportation, frac. I'd say as our volumes have really exceeded our expectations, there are periods of times where we do offload on the G&P side. But with the flexibility we have with our plants, mostly we handle that amongst ourselves, and we'll actually handle some offloads from third parties on the G&P side. As you look through the downstream, the transportation and frac of our NGL volumes have grown significantly, we have connectivity to basically every other pipe in the Permian going to Belvieu. So we have those existing connections from our plants, from legacy plants, from acquired plants. So we have a lot of flexibility to move volume. So look to optimize that for what's the cheapest cost transport while we're bringing Daytona. So there are some volumes that we're moving on other pipes that we'll be able to go on Daytona kind of day one as soon as that comes up. And then same on the fractionation side, we have Train 9, GCF and Train 10, all coming online this year. If you kind of look back at our volumes, the frac has not grown as much as some of our other volumes, and that's because we're managing third-party fractionation there as well. So you saw a big step up this quarter with Train 9 coming on that is kind of bringing some of those volumes back onto our system. I'd expect more of that to happen in the third quarter and the fourth quarter.
Keith Stanley: Thank you.
Matt Meloy: Okay. Thank you.
Operator: Thank you. One moment for our next question. And that will come from the line of Sunil Sibal with Seaport Global. Your line is open.
Sunil Sibal: Yeah. Hi. Good morning, everybody. And first of all, congratulations to Jen and Will for their new roles. So I wanted to start off -- so I wanted to start off on your CapEx program. So could you remind us what's the current best estimate on building a new 275 plant and filling it up?
Matt Meloy: I would say, on average, our plants are around $200 million on the G&P side of things for a new 275 plan. Some have been a little bit cheaper, some have been a little bit more depending on what kind of inlet compression you're doing in, some of the other bells and whistles or sweet sour, but it's around 200 for the plants we have announced.
Sunil Sibal: And then similar amount to fill it up in terms of gathering systems, et cetera?
Matt Meloy: How much field capital? Well, that's also one where it varies from year to year, how much pipeline compression you're going to need? Is it more high pressure, is it more low pressure. So you can see more variability on that. So there are times we're also ordering more compression. We're trying to build some inventory because we see strong growth in the next year. So that has moved around quite a bit, I don't know. Pat, add any other color we want to give?
Pat McDonie: No, I think you described it. I mean there's a lot of variability there. It depends on if producers drill behind existing batteries. Where they drill, how many new batteries we're connecting, high-pressure low-pressure all those things, sweet sours. There's just a ton of it, and you're right. With lead times on compression and plants, that capital kind of gets get kind of mothball together and it's -- there's not a real finite number that I'd be comfortable.
Matt Meloy: And we haven't really seen, I'd say, a material change. It varies from year to year, but we haven't seen a trend of getting more expensive or less expensive. It's been operating within a band that we've seen year in, year out.
Sunil Sibal: Understood. And thanks for the bridge that you provided on the CapEx program. I just had one clarification on the other category. Seems like you're indicating carbon capture is also put in the other category. Could you indicate what kind of capital you spent so far on carbon capture and when can we expect to see returns on that?
Jen Kneale: We're not going to break it out separately, Sunil. What we have said is that we expect to be in a position to potentially benefit from 45Q credits later this year. We have a number of projects that we're commercializing in the Permian Basin that's very much core to what we do and what we are good at. So it's small enough that it doesn't make sense for us to break it out separately, but I'd say the returns are consoserate with what we're seeing across the rest of our investment opportunities across the portfolio.
Sunil Sibal: Okay. Thanks for that.
Matt Meloy: Okay. Thank you.
Jen Kneale: Thank you.
Operator: Thank you. One moment for our next question, and that will come from the line of Tristan Richardson with Scotiabank. Your line is open.
Q – Tristan Richardson: Hi, good morning, guys. Maybe just a quick one on Blackcomb. Is it wrong if equity stake has some correlation with the capacity you expect to have in the pipe? And then maybe just thinking about your capacity portfolio in general, with the growth you're seeing exiting 2024 and looking into 2025?
Bobby Muraro: This is Bobby. Yes, as we build our portfolio to transport, we obviously market a ton of gas for our producers across the Permian Basin. And as we look at the portfolio of takeaway, we've talked about it before in tight markets, we spend a lot of time to make sure that all the gas moves out of our plants. Some of that is long haul out of the basin, like our Blackcomb deal. And but I'd tell you, a majority of it is within basin and tailgate sales to people that have transport. So we manage that all together. And then as we think about making sure there is egress from the basin on pipes. That's when we step out on things like this Blackcomb deal to make sure that a pipe gets built, timely enough such that the basin doesn't have more material issues than it already has. So when I think about what we put on a pipe like Blackcomb, it is a very small subset of the amount of gas we market across the basin. So it's not a needle mover relative to the amount of gas we market but it is part of the science we go through every year thinking out one year, thinking out two years, thinking out three years and how we're going to make sure all the gas moves through our plant so that the NGLs get out and our producers can produce their oil.
Q – Tristan Richardson: Helpful, Bobby. And then Jen, obviously, you said 2Q was a very tight gas market. I mean, curious where fee floors a factor in 2Q or even said another way, Targa able to put up a very strong 2Q irrespective of where basis sits today versus when we see relief on the horizon, hopefully, by fourth quarter.
Jen Kneale: In the second quarter supports why the fee floors are so important to us. When you think about the amount of capital that we spent in the quarter, now moving forward with two additional gas processing plants to support our producers with the backdrop of negative Waha prices and low NGL prices, yes, you can assume that the fares -- the fee floors were very much important to us in the second quarter. And really have been in play for a substantial number of months over the last, call it, 1.5 years or so. And that again is really what's allowed us to invest through what is a low commodity price cycle right now and what is allowing us to continue to invest looking forward as well.
Q – Tristan Richardson: That’s great. Thank you, guys very much. Appreciate it.
Jen Kneale: Thanks, Tristan.
Matt Meloy: Okay. Thank you.
Operator: Thank you. I would now like to turn the call back over to Mr. Sanjay Lad for any closing remarks.
Sanjay Lad: Thanks to everyone that was on the call this morning, and we appreciate your interest in Targa Resources. The IR team will be available for any follow-up questions you may have. Have a great day.
Operator: This concludes today's program. Thank you for participating. You may now disconnect.